Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS Second Quarter 2013 Results Conference Call. All participants are at present in listen-only mode. Following management's formal presentation instructions will be given for the question and answer session. (Operator Instructions) As a reminder, this conference call is being recorded and will be available on the BOSC's website as of now. I would like to remind everyone that this conference call may contain projections or other forward looking statements regarding future events or the future performance of the company. These statements are only predictions, and may change as time passes. BOSC does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including, as a result of changing industry and market trends, reduced demand for our products, the timely development of our new products and their adoption by the market, increased competition in the industry and price reductions, as well as future risks identified in the documents filed by the company with the SEC. I would now like to hand over the call to Mr. Yuval Viner, CEO of the company. Go ahead, Yuval.
Yuval Viner: Thank you and good morning to all our listeners in the U.S. and good afternoon to those who are joining us from Israel and Europe. The results for the second quarter of year 2013 reflect both, top and bottom line improvement over the previous quarter this year and the comparable quarter of last year. We are pleased with the continued successful implementation of our long-term strategy to improve both, financial position and operational results. These days, we are working intensively on the preparation of our strategic plan for the coming three years, which we believe will gradually set BOS on a path of growth. Our outlook for year 2013 remains at profit on a non-GAAP basis. Now, I would like to turn over the call to Mr. Eyal Cohen.
Eyal Cohen: Thank you, Yuval. One of the elements of the improvement in our financial results and the first half of year '13, as compared to comparable period last year was a 50% reduction on the financial expenses from about $0.5 million in the first half of year '12, $300,000 in the first half of year '13. The reduction was a result of effective currency hedging, reduction in loan demand and reduction in interest rate of long-term. In addition, during the first half of year 2013, we successfully reduced a number of credit days offered to customers, reduced inventory, [turnover] and increased trade payable. As of the end of the second quarter, we had cash and deposits in the amount of $860,000. This completes the financial review. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, at this time, we will begin the question and answer session. (Operator Instructions). There are no questions at this time. Before I ask Mr. Viner to go ahead with his closing statement, I would like to remind participants that the replay of this call will be available on the company website, www.boscorporate.com by tomorrow. Mr. Viner, would you like to make your concluding statement?
Yuval Viner: Yes. Thank you. We have as a company continuing our day-to-day efforts to streamline our operations, improve our products and strengthen our financial position. We are confident we will meet our meet our challenges. Thank you and (Inaudible) all.